Richard Wainwright: Good morning everybody. As you can see this is now Stephen Koseff, my name is Richard Wainwright and on behalf of Investec I would like to welcome you here this morning. Stephen will be presenting in the half results from our offices in London this morning but you will be able to ask him questions. So he'll be [indiscernible] using he is normally dead on time so it looks like he is a minute late. So welcome to Investec, I hope you enjoy the presentation.
Stephen Koseff : Welcome everybody in London and Johannesburg and Cape Town and I think on the Business Day TV to our half year results presentation. I think we have been operating in a very volatile environment and I think everyone knows that we have had political incidents in South Africa and [indiscernible] we have had Brexit and now we have faced with Trump presidency and I think all that creates a high level of macro uncertainty. The difference in this period is that we have seeing the South African Rand appreciating against most currencies although strangely enough on average it's still weakened against Sterling compared to the equivalent period last year. However at the balance sheet level that had appreciated by about 15% which has had quite a strong impact on the balance sheet on the face of the balance sheet. We've also seen more recently equity markets rise, however they were quite volatile in the period and so I think in the not just understanding the operating environment we believe that we've delivered a decent results. We've continuously development of our core franchise businesses with quite strong growth in third party funds under management recognizing somewhat came from the market, some of it came from currency and some of it came from the inflows we had strong growth in the interest income, strong growth in fees and commissions and we also had quite strong growth in customer flow income. That growth was offset by a declining investment income and that really came from two sources, one was a change in accounting due to the creation of our partnership in Investec equity partners where we transferred a whole lot of the asset historically would have been fair valued than now equity accounted and that could have quite a significant impact on South African banking results and again write-off of an investment in Hong Kong, write down of investment in Hong Kong which reported week results for the past period we had to recognize it although it's no longer listed, it is currently suspended. And then we also have an increase in costs arising from planned investment in our whole franchise businesses, so those two would have taken away the underlying strength of the results. So what I'm going to do now is something I haven't done for a long time is get our Chief Financial Officer to talk to the numbers. I think we had a professor from London Business School, Donald South [ph] told in a strategic process gave us an idea when they must bring through the young puppies to help the old dogs. So I'm getting one of our young puppies, you saw last year we did quite a lot of changes in Investec's management structure bringing the youngsters through. He is one of the young puppies and he's going to talk to the numbers. So I will Nishlan Samujh, our Chief Financial Officer. I will take over after he is dealt with the numbers. Thank you.
Nishlan Samujh: Good morning to everyone and thanks Stephen. Hope my wife's watching because I'm a young puppy all of a sudden. All right let's just into the numbers you know I think Stephen has pretty much summed up a lot of it at the start. The operating profit number is a up 0.7% obviously in sterling. I'm not going to repeat the currency neutral base because the rand has had an impact but it's really weakened about 3.4% on the income statement where it does have a material impact is on the balance sheet with the Rand having actually appreciated for 15.4% in that period. Adjusted earnings per share up 1.8% to 22.7p and the dividend per share up 5.3% to 10p. I'm going to focus on the ongoing businesses going forward. Figure out which way this goes. I think if we look at the performances both from a geographic perspective and from our underlined businesses you will see the diversified business model functioning in these results. The contribution between UK and the South African businesses fairly similar to where they were last year but effectively quite a diversified contribution. UK and other was up 1.3% and South Africa down were about 0.5% obviously influenced by the change in accounting treatment which I will give you a little bit of flavor on just now. The business diversity you can see that the asset management and wealth business has contributed about 39.9% of these results that was there are about 34% last year and moving on to our drivers here you see the benefits of the currency coming in with funds under management up 16.5%, 10.3% on a neutral currency basis and that's really supported by about £1.8 billion of net inflows over the period as well as you know positive influence from recovering equity markets that we've seen. He Specialist Bank if you look at core drivers customer accounts increased 17.7% to 28.3 billion, from a liquidity perspective we maintain the conservative stance over this period obviously recognizing some of the risks that were in the system. Core loans and advances are up 16.1% and on a currency neutral basis that’s 4%, when Steven goes through the divisional stuff you'll get more flavor on those roads. Let's look at the makeup of the overall operating income which is up 6.1% over the period to just over £1.05 billion. If you look at the line items that are driven by client activity so interest income up 10.6%, fees and commissions up 14.7% and trade in income arising from customer flow with strong contribution from our UK balance sheet at 28.2%. Obviously on the downside is the drop in investment income which net of associate income which came in at £38.4 million in this period versus about £112.8 million last year so that's really where you have that material change. I think we've previously presented to you guys the Investec Equity Partners transaction. I think one's got to note that the change in accounting treatment effectively shifts the income recognition principle. So it changes the timing of income recognition, okay, to compared to the fair value base and that's fundamentally the change that you recognize in these accounts. So there is a change in the base going forward, really around the timing of recognition of revenue from this particular platform and I think what's relevant is that the business which was transferred into IIP generated on average about 900 million over the last three years. Also what's relevant is if you're looking towards the end of the year, I think you would have also noted from last year's results. The level of investment income was really flattish between the half year and the end of the year because we had not recognized any income from this particular platform in the second half of last year. So the differentials should start to effectively normalize. We come to a comparison on operating income and operating cost. We did see that our operating costs increased by 8.2% a bit ahead of our operating income growth of 6.1% albeit on a higher base. So the jaws diagram slightly tighter but at the end of the day the cost income ratio at 66.7% is really reflective of our investment in both IT and infrastructure associated with activities across various businesses at the end of the day. The headcount increases is spread across all of the businesses and really is a focus on growth aspirations that are held within each of those. We look at impairments, the overall credit loss ratio including defaults was at about 48 basis points over this period. I think that's pretty much in a sort of a normalized range. We did see an increase in the default book in South Africa of about 68 million that's mainly associated with a few corporate exposures and no real relationship at this point to our private client exposures. So if we look at the overall group performance, we use the word stable. You see that operating profit before tax is fairly flattish, adjustable earnings up 3.3% slightly influenced by the buyback of perpetual press in the period and adjusted earnings per share 0.8% with an increase in the weighted average number of shares in issue. The balance sheet has got a much stronger improvement over the period with total shareholders' equity up 16.2%, that's driven by a few factors one of them being retention of net retention of profits and the other really being driven by the currency restatement of the South African balance sheet at the end of the day. We've talked through customer accounts and so forth. I think for our rand shareholders back in SA operating profit up 2% is just under £6.3 billion and attributable earnings sitting at £4.5 billion, adjusted EPS was up 2.5% on these results. If we look at our performance against our financial targets you'll see that our ROE at 12.1% is at the bottom range of our target of 12% to 16% of rolling five year period but it is within that range. Our cost to income ratio is running ahead of where we are targeting, we are conscious of that but they are deliberate initiatives that the group has got in play at this point in time. So I don't think it's something that is driving us hard at this point in time. If we look at the dividend cover I think that's pretty much where it should be. From a capital position perspective, I think Glynn is still asking me to come up with a racial that reflects both capital and leverage, at the end of the day well maybe one day. I think it's important to note that we are comfortably ahead of where the regulator requirements are. In South Africa we are still slightly below our common equity in Tier 1 ratios, but if you look at the leverage ratios across all of the geographies those remain quite strong at about 7% across all of these and if you bring these two factors together it really shows the strength of the balance sheet at this point in time. All right that was round one. Stephen back to you.
Stephen Koseff : You can do the whole thing in future. I'm going to concentrate on the divisions and I think I'll start off with asset management and I think we have very strong growth 16.6% in operating profit to £82.3 million, as we saw a wide slide widening of the margin from 33% to 34.4% where income growth was stronger than cost growth and I think we had £1.1 billion in the inflows that is pretty good in a very difficult period, when you can think about the volatility that was in the world during this period and we did have a very strong positive effect from the markets and currency movements and now at that date, at the end of September we're managing just under £90 billion from about 76 I think it was at the end of March. So very good momentum and I think I will talk about the strategic initiatives later. So I think it is you know from an outlook point of view it is an industry challenge by regulation, increased regulation as a whole financial services industry is challenged, market illiquidity and volatility and clearly also threat of digital disruption and I think we have a quite a strong growth platform and we believe there are significant opportunities over the next five years with positive momentum. Hendrik [ph] warned me a thousand times since last Thursday lunchtime in the UK all of a sudden there was a flow away from emerging market currencies and emerging market debt and he said I have to warn you that that could have an impact but you know a day is a long time in this world at this point in time with the volatility that we have out there but still well run platform, good position and good momentum. If we look at our wealth and investment business, again strong growth at 14% from £37.9 million to £43.2 million, the rand business was up 21% and the UK business was up 12.7%. We still have breakeven or slightly loss making businesses break even in Ireland, loss making still in Switzerland and a new initiative in Hong Kong and so that could drag some of the growth but still operating margin up to 25%, South Africa down slightly 5.7 but still very decent operating margin and the UK up from 20.7 to 21.9 that's including the other jurisdictions, the UK business on its own is a 25%. We had net inflows of £700 million and type of funds and management gone from that £45 billion to £51.3 billion. Again for similar reasons to what we spoke about in asset management what Nishlan articulated. So I think if you look at the outlook, we are in a very tricky environment in South Africa, very low growth economy at this point in time with lots of political noise. I think growing in that environment is quite positive. I mean obviously equity markets have been reasonable so that does help this kind of business and a lot of our clients would invest in us internationally, so I guess mixed. In the UK obviously you have had Brexit and that has helped stock markets in sterling, but I think it's still going to create a significant amount of uncertainty as we move forward and as it's implemented. I think we as an organization continue to invest in the future success of our business but we also have to make sure that we remain resilient but we believe we are in a reasonably comfortable position. And if we look at the specialist bank, the underlying operational performance was very sound. Although operating profits are down 7% I think both Nishlan and I have explained the key reasons for that which is really the decline in recognition of the investment income on to the opposite of that we have very good connectivity both in the UK and in South Africa and very strong growth in some of our core earnings drivers. The legacy business is running according to plan, it may take slightly longer because of Brexit, we’re not feeling it at the moment that you've seen we do expect to be at this £419 million by the end of the March, we currently are £534 million which was probably a little bit, running a little bit better than we expected but this is hard work to get it to you and so it may take an extra year or two. But we are working very hard on clearing this and as we said the losses from this will start dropping off quite significantly from about next year. This year we'll still have slightly elevated losses which is probably in line with what we've seen historically. So if we look at the UK specialist bank, I think again here we've had strong good book growth, we've had increased connectivity, very good performance from our corporate advisory and aviation finance business. Again the results were affected mainly by the write-off of write-down of that Hong Kong investment which you’ve articulated before. The cost to income ratio is still what we consider to be elevated but at 71% we still need that quite a lot done as costs grew faster than revenue and again that is because of the planned investment in both infrastructure and IT to support future growth. In particular it's both in the corporate bank and in the private bank but the private bank we still have a lot of work to do to get the right kind of infrastructure to deal at the level that we wish to deal it. So we had core loans and advances on a currency neutral basis at 4.8% obviously the weakness in the pound we have fortunes of our books on non-pound books and the absolute number was up more but the weakness of the pound would have added a few hundred million pounds of loan portfolio. So on a neutral currency basis are just under 5% and deposits, customer accounts up 11.4%. We weren’t very liquid pre-Brexit and obviously now we have to get rid of some of that liquidity because as a Firm we're exceptionally liquid So I think we remain cautious on the environment. Obviously one doesn't know where life is going to go that I think we have a good levels of activity and to continue develop our client propositions so we are quite happy with where we are at this point in time but we still have a lot of work to do. I think on the South African ongoing business the whole business is ongoing because we never put anything into legacy. I think we saw very sound levels of plan activity not sustaining the volatile local market. We saw very strong growth in the interest income and growth in fees and commissions. So rather I would say again here are the key thing was the fall of an investment income which I'm not going to explain again. Cost to income ratio just under 50 and there was we still investing a lot in IT infrastructure and headcount to support growth. Although if we go back in the South African businesses our headcount growth apart from an acquisition we made in over the last eight years has only been 1% per annum. So it's a lot more moderate than you think, but because of the change in accounting policy we did see operating income and operating costs down 3.4% and 3.7% respectively for this particular business. Core loans and advances were up 3.4% which is a lot less than the previous we had very strong growth in loans and advances. We did say to you that that would moderate and the economy is very, very weak, so we have seen a large moderation in loans and advances and we have -- and customer deposits grew faster than loans and advances. So we weren't uncomfortable with that level of growth. It is below normal that because we had very strong growth the previous year we had quite a lot of redemptions. So we still have activity but a lot of the redemptions in this period. So for us it's still about building and developing our client franchise businesses, I think clearly there's a lot of political noise and weak economic environment that does also create opportunities. So we are continue to see good levels of activity in our core banking franchises. So if we look at strategically what are the priorities, so I think if I just go to as an asset management quickly, I think what Hendrik talks about is scale his multi-asset in global equities business. He said there has been some progress on that but they are short term performance headwinds. I think when we spoke about getting on the front foot in South Africa if I remember if I spoke a year ago about the South African business it also had headwinds, I think that's turned around completely. In this period we had very strong inflows £1.2 billion of net inflows into their business in the last six months and it is generally on the front foot and it has turned around quite dramatically which we are really pleased at that. I think there are growth opportunities for us to capture in North America, Europe and Asia Pacific and I think Hendrik's point there is we are well position but need to inject more momentum and then we also want to grow our advisor channel, again we've made good progress on that front in South Africa but need to do a lot more work internationally and I think we always trying to nurture new long term initiatives and invest in our people just the point is they did increase the equity stake from 15% to 16% in terms of the approval that you shareholders gave us a few years back. They have a right to increase it to upto 20% at the pace of 1% per annum. So they did exercise it right on the first of October which again demonstrates that they have confidence in this business. If we look at our wealth and investment business, I think on the internationalization front we have a lot of work to do to reshape our swiss office, have opened office in Hong Kong and we're getting some flows and then clearly in Ireland we have a business that is well set but just needs scale. So that's an area where we could look to consolidate and make some acquisitions to the extent that there are available. Digitization has been a key strategy again, we've launched -- obviously we've got one place which brings all our products together both banking and investment products together and we are seeing quite good flows into South African side of that business, Click & Invest is a bit behind release date but we're going on trial at the end of this month that will be with our staff before we release it to the market probably at the end of the first quarter. So we have about -- six months later on that and that will enhance our core offering. I think there's a focus on efficiency which is trying to get straight through processing and enhancing our digital aspects of our core offering and I think as we continue to spend a lot of money as a firm. In South Africa we have launched a product called Investec Philanthropy hopefully helping people manage money that's for philanthropy purposes. I think if we go on specialist bank, I'm splitting this between corporate and private client, clearly we are continually try to -- we deal middle to upper corporate depending on which geography we are in and that's very important that we have multiple relationships product relationships with our corporate client base. We see that we're quite successfully in some of the markets we operate in and I think it's very important for us to build the advisory and the non-capital intensive capability both through the Treasury Services businesses and the advisory businesses to enhance what we do on the lending side otherwise we'll never get the right ROE. I think it's important for us as organization to maintain our entrepreneurial spirit and I think we've done a lot of work in terms of that within the organization and we're looking to create a one place like we have for private clients for our corporate over clients and hopefully that something we have to talk more about in the not too distant future and then a very key issue for us as a firm is to improve coordination across our business units and geographies. And I think that came out very strongly the need for coordination as an organization rises dramatically as you move up the feeding chain and I think that's a very key for us as an organization which a lot of focus is taking place on. I think on the private client side, really what we're trying to do is provide a personalized and integrated client private client experience. We believe very much in high tech [ph] and I think also making sure that we have an appropriate international platform that can service type of client that we wish to look after. So we've on the South African side we already need that market with offerings South African clients with a full international offering and I think that's been a very important part of our initiatives, it also supports our UK businesses because those clients will open up accounts in the UK and transact in the UK and maybe have some money managed for them in the UK. In the UK we have to build products, process and people over the next three to five years so that we can create a business that is the domestically relevant. I think relevance is very important for us as an organization and so we've shifted from a product base model to a high net worth and active entrepreneur model and that's something that hopefully will start getting a lot of traction. And then clearly the integrated offering between our private bank and our wealth investment business through one place surprising to us was that we were ranked ninth in the world in Independent Wealth survey on our digital offering which that’s not against just South Africans or UK firms that’s against global firms. So I think we're making good progress on that front and we have some very strong features. I think if you look at the overall business over the past seven years, I think this is very telling, is if we went back to -- if I go back to 2008 -- so 2010, we were 42%, 58%; 2008, we were 40% capital light, 60% capital intensive. Today, we're 58% capital light, 42% capital intensive. That has been a big shift that we'd made as a Firm over the past eight years. And I think that we're quite pleased with this kind of progress because if we're going to deliver the right returns to our shareholders, we cannot just be a capital-intensive business and that's the recognition that we've had. It takes time to build up capital-light businesses, but we're very pleased with the progress that we've made. As a consequence, you're seeing a steadily-improving ROE across the businesses. And, again, if you look at all these, the only area that declined in this period, and is mainly for the reasons I've told you, because of that shift in accounting policy, was the South African specialist bank. And clearly, you know we work very hard to get that ROE back to the right kind of level, from our point of view. But all the other areas of ours improved in this particular period. And I think we're quite comfortable that we're starting to conquer this issue that you guys have had with us as investors, that your ROE is too low So, Group ROE, just within the target. And now, hopefully, now that we're within the target, we can strive to get to the upper end of the target. That is very important for us, is to get to the upper end of the target, as a Firm. So I think, if I -- in closing, I think our primary focus is on growth and delivering decent outcomes for our shareholders. We, as an organization, have been through significant transition as a Firm, realigning our business model, and at the same time positioning our organization for the next phase of growth. We've appointed many new leaders, at a global level and a business-unit level, to enable us to successfully shift the organization. I think they've settled very well in their roles, and are motivated to build their businesses and drive growth. And we've seen a lot of energy come into the organization from these appointments. So the old dogs, they're moving aside and allowing the young puppies to take over; and I think that does create a lot of energy. I think we are focused on improving the quality of earnings and leveraging our unique client profile to provide the best and most integrated client experience. I think we work very hard on perpetuating our culture and entrenching our values, and remain committed to engaging with all stakeholders, investing in our people, our communities, which are very important to us as a Firm, and driving returns for our shareholders. As I mentioned before, strong coordination across our businesses and our geographies are key to our future success. So, we are in a tough environment. There is a hell of a lot of uncertainty. I don't know, apart from the financial crisis here, whether one has had a year with so much going on from a political, geopolitical, and economic perspective. We are very mindful that life is very challenging out there. But we believe that our operational and geographic diversity supports a recurring income base which has proved resilient, notwithstanding fluctuating market conditions. So we, as an organization, remain committed to deliver value to our shareholders, always balanced by appropriate outcomes for stakeholders, and providing an exceptional service to our clients. We've got questions. I'm going to start off in London. James?
Q - Unidentified Analyst: Just one, just given the macro outlook in South Africa, and the exceptionally benign credit environment in the UK, how do you see your impairment charge evolving?
Stephen Koseff: Yes, I think we're not seeing a lot of stress yet in South Africa. But we've had one or two corporate exposures, mainly mining-linked, that created an uptick in defaults. I think they're all manageable. So we're reasonably comfortable with where we are. But you may be at a turning point in the mining cycle, where these mining groups have cut costs quite dramatically and now they're getting an uptick in revenue; and then, the profit starts coming forward. So we have to watch. I think the bigger fact in South Africa at this point in time is where do the politics go, and what does that do to business confidence? So as corporate South Africa business is working very hard with government to try and address some very, very tough issues that have been out there for the last year. And I think it's the first time in the history of South Africa that they are collaborating as one. So I'm not that negative on South Africa. I think there's a lot of positive that has come out of the politics over the last while, and that democracy is working. But, obviously, it can still be volatile. But on the ground, conditions are not for our client base -- remember who we deal with, is the top few percent, plus the middle-to-large corporates, and we're not seeing a massive amount of stress. From a consumer point of view, get to the other end of the market, I think there's a lot more stress. And South Africa is like two countries, really; you've got urban, which is quite vibrant and growing; and rural, which was on a decline. And I think that's why you've got the overall country looking weak. But if you go to the urban areas, if you look out, I live in an apartment block in the middle of Johannesburg, in a place called Guateng [ph], if I look out and I see -- I count 10/11 cranes, I don't go to many cities where I see 10/11 cranes. And I travel a lot. So, I don't know. I don't know if I answered your question. I gave you a speech. I don't think we're going to see a massive uptick in impairments in South Africa, but I think we've always said that we at the low end of 30 basis points, low end of a range, so probably can uptick to 40 basis points. UK is still benign, so we're not seeing -- while interest rates are at 0.25%, guys can manage. I suppose if you had interest rates rise to 3%, maybe you'd start seeing a different outcome. More questions?
Unidentified Analyst: Yes, just turning to capital liquidity. You covered them both. Do you have a target set if liquidity is very, very strong, which makes it difficult to earn money, general capital is going up, do you see opportunities for increasing the capital ratios in SA?
Stephen Koseff: SA, they will naturally increase as we move. We firstly want to standardize, we're moving to advanced, that will add about 1.25% to our core capital ratio. And I think these capital ratios don't factor in the fact that we have significant asset management and wealth management businesses that provide big cash and you're sitting with an asset at NAV, tangible NAV. So they're in your books at nothing. So I think we're quite comfortable with where we are, that we can manage well within our targets. Our leverage ratio tells you that if you have shock, we are very, very defensive. On liquidity, we deliberately went liquid, in South Africa we went very long-dollars because obviously if there's a rating downgrade it's going to affect your supply of dollars. And in the UK we were worried about Brexit, so we also went long of liquidity; we now will try and optimize our cost of money going forward. Catherine, you missed the whole story. Any more questions? In London. Okay, can we go to Johannesburg?
John Storey: John Storey from JPMorgan. Just two questions if I may? One is just around your cost of funding and how this has developed post-Brexit? And then just secondly, you mentioned it in your pre-close update you gave quite a lot of color on your commercial real estate exposure. If you could just provide a little bit of an update on this and how it's performing over the last few months? And how you expect it to perform going forward? Thanks very much.
Stephen Koseff: So we gave you a lot of color at the trading update, I don't think we have any issues in that exposure. I think, as James said, you're in quite benign conditions in the UK, with interest rates really low. So it's not a season where you're going to have stress. I think the one thing on Brexit is that the pound took a lot of the pressure, the weakness of the pound, and that there have been buyers from far away into the UK market in some of these areas. So I think it might have slowed down a bit, the buying, and the bubble-like activity that we perhaps saw a while back, but we're not seeing any kind of stress on the UK commercial property exposure. With regard to cost of money, I think ,obviously, our strategy now will be to try and lower the cost of our deposits, we are very long-cash, and I don't think that will mean a massive uptick for us as a consequence of Brexit; I think it's just, depending on which channel you use. But we've got a very strong balance between retail and corporate and I think interest rates have been pretty reasonable here. But we will obviously try and reduce our cost of money through changing the mix of our liabilities. We did do that successfully for a few years, but it's sort of like hit the floor. So now the trick is how can we get that cost of money down a bit further? And that will come from a change in product mix. Is that it?
Stephen Koseff: Okay, Rich, thanks. Thank you, everybody, and I hope you've got tea for them, and cake, Richard? Or lunch? But here we're just going -- I don't know what you're going to get; I think tea and something, so enjoy. Thank you.